Operator: Good afternoon. My name is Katrina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands First Quarter 2021 Earnings Conference Call. [Operator Instructions]. I will now turn the call over to Mr. Daniel Briggs.
Daniel Briggs: Thank you, Katrina. Joining me on the call today are Rob Goldstein, our Chairman and Chief Executive Officer; and Patrick Dumont, our President and Chief Operating Officer. Also joining us on the call are Dr. Wilfred Wong, President of Sands China; and Grant Chung, Chief Operating Officer of Sands China.  Before I turn the call over to Rob, please let me remind you that today's conference call will contain forward-looking statements that we are making under the safe harbor provision of federal securities laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements.  In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. Please note that we have posted supplementary earnings slides on our Investor Relations website. We will refer to those slides during the Q&A portion of the call. [Operator Instructions]. Please note that this presentation is being recorded. With that, let me please turn the call over to Rob.
Robert Goldstein: Thanks, Dan, and good afternoon, and a very early good morning to our colleagues in Asia. Some brief comments then we'll [indiscernible] Q&A. Our results reflect the pandemic's impact. We did generate $244 million of EBITDA for the quarter. And we continue to have a strong belief in the Macao recovery because the March numbers were very different from those in January and February and the recent visitation numbers and [indiscernible] for April reflect continued acceleration. Obviously, we cannot define the timing of the full recovery, but it's underway and we will continue in 2021.  At this time, Singapore is in the $500 million to $600 million range annual EBITDA. There is no visibility as to when air traffic will return to Singapore. And unlike Macao, it's more difficult to project additional or incremental EBITDA from MBS until the resumption of [material] [ph] air travel. Our investments in Macao continue to take shape as the market recovers, Four Seasons and Londoner will present, I think large growth opportunities for us, and we continue to have -- we do have the largest structure in this incredible market of Macao. And China continues to demonstrate economic resilience. The spending in Macao is very strong [the premium mass] [ph] level for both a gaming and a retail perspective and referenced on Page 29 and 30 [investment] [ph] retail perspective, there's some pleasant surprises there. But again, we have no reservations on our ability to perform to pre-pandemic levels once visitation returns.  Our company today is sort of divided in 3 different areas: The Asia portfolio, Macao and Singapore. And while we believe Macao will accelerate this year and lead the recovery, Singapore follow-up on resumption of air travel and participate in the recovery as well, and we anticipate a return to a $5 billion-plus EBITDA from Asia in the future.  [On the sale] [ph] of Las Vegas assets enable us to have huge optionality to explore large scale land-based destination works in both United States and Asia. And finally, we have -- we're eager to have a material digital presence in the future. We are exploring multiple opportunities at the present time. This is obviously a departure from our historical approach, and we'll update you at the appropriate time.  So let's go to Q&A and have first caller, please.
Operator: [Operator Instructions]. First question, we have Robin Farley -- I'm sorry, we have Carlo Santarelli from Deutsche Bank.
Carlo Santarelli: Rob, I appreciate there's probably some sensitivity around it. But in your prepared remarks, obviously, you talked about some of the Asia opportunities. And clearly, upon the completion of the Las Vegas sale, which obviously came at a very nice multiple for you guys, and I'm sure you're having very nice proceeds coming out of it. How do you think about the use of those proceeds in light of some of the opportunities? You're obviously kind of eyeing in Asia relative to, obviously, the return of a dividend, potential for buybacks longer term, potentially owning more [indiscernible] in China, all of the above? How do you kind of prioritize that pecking order and acknowledging you could do several of those things kind of what the balance sheet position that it's in?
Robert Goldstein: Sure. We're looking at -- obviously a great opportunity for return. I think we continue to believe there'll be something happening in Macao at some point in the future, which will enable us to reinvest in Macao on a non-gaming basis. We're hopeful that'll happen sooner than later. You know that our project in Singapore, our phase 2 project is -- we're still continuing to work through those issues there. We continue to look at other Asian -- large-scale Asian opportunities. And then, of course, we think in the U.S., there may be some opportunities for us here. And lastly, digital. I think we look at everything individually and look at the returns and -- but our priority remains getting back on our feet in Asia be back to a $5-plus billion EBITDA and maintain -- that's the backbone of our company. That's what we'll start first. If something opportunistic opens up in U.S., Bob is with the bat and if something opens up digitally, we're deep into a digital and deep dive to figure out -- have deployed capital and intelligently to get a return. And I think there'll be some nice opportunities in the future there. As far as the dividend, I like Patrick to address that issue and return of the dividend. Patrick?
Patrick Dumont: Sure. Thanks, Rob. So I think, as Rob mentioned, we look very cautiously at the way we deploy capital, and we're very patient and we look for the way to maximize our returns for shareholders. And so when we look at the dividend, it really was and hopefully will be in the future, really the cornerstone, and you've heard me say that before, of a return of capital program. And I think where we are today is that we're going to look for operations to return to a baseline level and get a sense of where those operations are trending and then make an assessment with the Board and with management looking at our long-term potential to where the dividend should be given our ability to reinvest and allocate capital to other projects that are higher growth. And so I think it's pretty consistent with what you've heard us say before in calls, and nothing's changed from that perspective.
Carlo Santarelli: Great, guys. And then if I could, whoever kind of wants to take this, it's more of an opinion question than anything else. But obviously, There is some consternation in the investment community around the status of VIP in Macao and the direction of the VIP going forward in Macao, whether or not if there's a perception that, that will have a positive or negative impact on the premium mass segment. One could obviously make the case that VIP customers who are having a harder time accessing capital, who do like to go -- could obviously move into the mass segment or premium mass segment, which wouldn't be the worst thing to happen or the fact that maybe some of that still overplay from VIP, if the VIP is softer doesn't show up in mass. Rob, maybe what's kind of your view and a view from your folks in Macao on how that -- how they would expect that to play out?
Robert Goldstein: I have a very strong view, but since I woke up Grant at 04:30 morning, why don't Grant take that call. Grant? Are you there?
Grant Chum: Yes. Thanks, Rob. Yes. We're here yes. Sure. On the question of VIP and premium mass, I think you've clearly seen the segments have diverged in terms of the recovery. Clearly, premium mass is -- has made a very significant recovery and already approaching 50% of pre-pandemic levels. VIP on the other hand, is still struggling at around 20% or sub-20%. So the segments are actually following very different trajectories, and we would expect that to continue for the time being. And of course, your question about whether there's spillover, whether there's migration I don't think those dynamics have really changed since a few years ago that there is a structural change over time, where more of the customers and more of the new customers are dealing directly with the casino operators program. And of course, the great assets on the integrated resort that all of the operators, including us, we've built up, have attracted more and more of these consumers to the premium mass program, and we expect that to continue over time as these non-gaming lifestyle assets and products continue to attract people to play in our programs.
Operator: Next question, we have Joe Greff from JPMorgan.
Joseph Greff: When you look at your advanced bookings for the Golden Week holiday in Macao, do these bookings suggest or imply a further acceleration in the visitation or mix quality might be tough on sort of spend or GGR level relative to April and March? And anything underlying that suggests that maybe people are anticipating any -- or Macao patrons are anticipating any further incremental easing of travel restrictions?
Robert Goldstein: [Indiscernible] to share with you our bookings for Gold Week. I just think we look at the -- I think the best reflection in the market right now is the acceleration in April. I think across the board, both visitation revenue is growing. And we remain convinced Macao is in a recovery mode already. I think the term came in March, very encouraging. I think it's foolish for us to try -- again, call the shots, so to speak, as when -- as this thing grows. I don’t think it might be a [indiscernible] to define it. I think, instead it's a slow process of gradual growth. And I think the market will be disappointed [indiscernible] inflection point was just like Golden Week pops the numbers to a materially different level. I think we're seeing a gradual growth. The easing restrictions, obviously, the government decision. People are getting there as evidenced by the numbers coming out of April and the revenues. And I think we believe that this will just continue to accelerate with the only caveat being -- hopefully, obviously returned any cases of virus. [Can you offer,] [ph] Grant, any thoughts on that?
Grant Chum: Yes. I think what Rob said is absolutely right. The term really started in March. In March, we started to experience a pretty meaningful rebound in visitations versus January and February. And as you've seen from the figures released by MGTO, that has continued on a similar momentum in April with visitations reaching post-pandemic highs in the mid of April. So the acceleration is seen across -- very encouragingly across all the different segments, whether you're talking about premium mass, mass. But the encouraging thing is that since March, we've really seen an acceleration in the base mass as well as the leisure FIT guests at the hotel, of course, retail, especially at the high-end consumption end of things. And we've even had an initial resumption of the MICE segment activity in March and bookings for Q2 look encouraging for the MICE as well, which is a surprise. But I think what you can see is a broad-based recovery in the different segments since early March.
Robert Goldstein: I don't think we're going to get very emotional if there's not as big a number comes out of the May. We -- I think it's more -- it's a slow but very steady road upwards. Here in Las Vegas, it looks like the weekend is pre-pandemic levels, it's amazingly busy year and demand is back. I think Macao is going to follow suit. Of course, Vegas is still leading to the return of the group business, but that's inevitable. I think the U.S. is obviously in a different place than Asia. But I think China and Macao are just going to continue to move forward, accelerate. I think you'll see a slow gradual return in the second half of the year it could be very positive for everybody over there.
Joseph Greff: Great. And then my follow-up question is maybe for all of you, those in Las Vegas and those in the ground early in the morning in Macao. And I just wanted to ask a question about a topic you guys love to answer is sort of your thoughts on the timing or process for the concession renewals. And I think I'm going to ask in a way that's answerable. If the government was thinking of renewing or extending 12 months in front of that expansion, right? And we're knocking on that and even if that was an extension for relatively short periods, would they have discussions for that with you by now? And maybe I'll have a -- I'll let you sort of open-endedly answer that question.
Robert Goldstein: Yes. Joe, I don't think we want to speculate because we don't know -- we're not [indiscernible] the government. We don't know what they’re thinking. But as we said, ad nauseam in the past, we remain strong believers is our position there. The story about the [ASEAN] [ph] and what we've done in Cotai and the $15 billion investment and the non-gaming assets we built back. We just aren't that concerned about - when the government tells us they tell us, but we don't have the insight and nor do we have any idea when they're going to do that. But we feel renewals will happen. We feel very confident of our position. And other than that, I don't have any other insight, unless Wilfred, anything you want to add to that? Is that fair to say?
Wilfred Wong: Yes. All the sixth concessioners are waiting eagerly for the government to make announcements as we draw closer to the expiration of the concession. But as ever, we stand ready to cooperate with the government once they announced the timeline and what they intend to do over the next 12, 18 months.
Operator: Next question, we have Stephen Grambling from Goldman Sachs.
Stephen Grambling: As a follow-up, I think, to Carlo's question on the proceeds from Las Vegas. I guess, where would raising your ownership of Sands China factor into that list? And can you just remind us what the process or limitations might be if you did want to go down that path?
Robert Goldstein: Sure. Pat, do you want to grab that?
Patrick Dumont: Yes, sure. So I think from our standpoint, we feel very strongly about the long-term future and success of Macao as the world's leading leisure and tours destination. And as Rob has said before and as you've heard on these calls, we're very interested in investing more there in non-gaming. We feel very strongly in the future of Macao. So it's definitely something that we think about and consider over time. I think where we are now -- we don't have the proceeds yet. We're looking at all the options, and we're going to consider everything. I think we're going to be very focused on returns. And so I think we're looking at new developments we're looking at how to increase and develop more in the markets that we're in. And I think that will be something that we think about. And I think really for us, there's a lot of opportunity in front of the company. And we're being patient. We're looking at it all. And we're going to look through the lens of maximizing return. So it's not something that I'm going to say we're going to do now, but it's something that is in the things that we consider as we look across the way we might allocate capital.
Stephen Grambling: And so just to clarify, is there a maximum ownership percentage that you can go up to for Sands China? 
Patrick Dumont: So I think technically they want to have 25% of the float outstanding for the exchange, but there are exceptions.
Stephen Grambling: Got it.
Patrick Dumont: Grant, I want to make sure that, that makes sense. Grant I just want to ask Grant Chum, I want to make sure I didn't [indiscernible] thing there, but ...
Grant Chum: Yes.
Robert Goldstein: That's correct. You're right.
Stephen Grambling: That's helpful. And then as we think about the model going forward, I realize that you broke out the Las Vegas assets within the EBITDA count. But is there any impact that we should be thinking about and it's more of a modeling question, but as we think about corporate expenses, going forward, is it basically what you reported this quarter kind of the right run rate to think about? Or is there other things that might be in there?
Patrick Dumont: No. I think what you should see over time is that corporate expenses should adjust post sale. But I think in the long run, we will continue to have a corporate office that manages the activities of the enterprise as a whole. So there's nothing in there that's noise right now, but you should expect to see some changes going forward after the completion of the sale.
Operator: Next question, we have Thomas Allen from Morgan Stanley.
Thomas Allen: So just on Marina Bay Sands, the performance of the property improved quarter-over-quarter. Obviously, they're not getting any more Chinese visitors there. So can you just talk about some of the drivers of that?
Robert Goldstein: Yes. Surprisingly, our slot business there are exceptional -- the biggest drivers are slot performance has been outsized. It's been -- I mean we actually are not up against pre-pandemic levels, the slot floor. I think that reflects the comfort level with the team and other for the ability the to buy slot capacity without having a feel uncomfortable. It's more difficult on the table side to do that there's more spacing on the table side, which makes it difficult. But as you referenced, not having that fond of station is very hurtful because -- Singapore traditionally, the residents there and the visitors and the current residents all. It was a slot -- strong slot market before we he got there, just has gotten better over the years with the -- our ability to provide a good quality product. But that's the driver, no question about it. But without that foreign visitation, it's hard to grow the premium mass in the high-end table business.  So we convince struggle and I think we'll stay in this range until things improve. And unlike Macao, I think we're going to see a move in this summer and fall. I don't think you can see that -- any reason to believe that happens in Singapore. The neighboring countries are still struggling with the vaccinations, be it Malaysia or Indonesia or Japan, there's no real evidence that this is going to change in the short term. But it's a slot business over there that's been really exceptionally strong.
Patrick Dumont: The other thing to note, and this is Patrick, is just keep in mind that while the pandemic-related restrictions has eased, the actual activity levels of the people in Singapore has gotten more back-to-normal over time across the quarter, right? So as people get vaccinated, as public health initiatives bear fruits, people who are in Singapore are more out and about. And so we benefited from some of that as well. So it's not as if there's a change, to Rob's point before, it's not as if there's a change in visitation, but there has been a change in activity in Singapore as things return more to normal there.
Thomas Allen: Makes total sense. And then just as my follow-up, it seems like you're getting more and more serious about your digital strategy. Can you just elaborate a little bit more of that?
Robert Goldstein: I don't see anything because we're not very yet, Thomas. We have -- we're like the new guys with locker, I think the game is just beginning. And we're looking at it from many, many aspects. We've been a lot of man hours, a lot of people looking at the opportunities. We have a big appetite, but as you know, that market is still developing be it -- I think we're looking not just in the sports or the game, but all aspects of digital. We find it fastening and very, very complementary to our land-based business. But we're just not ready yet to disclose what we're going to do because we haven't decided. So not much color there, but I think you'll be hearing from us this year and next year about the direction we're taking.
Operator: Next question, we have Shaun Kelley of Bank of America.
Shaun Kelley: I just wanted to go back to the kind of question around some of the possible reinvestment back into Asia as you've got so much cash or liquidity available on the balance sheet and obviously heading into the concession process. So my specific question was that there was some press recently about possible investment in the broader Greater Bay area being a potential criteria or a potential result of the concession process? And I would just kind of peaked my thinking around, would that be something that LVS would consider potentially investing in non-gaming, let's call it, in the broader region, but outside of Macao directly? Is that something you -- how would you react to that?
Robert Goldstein: Positively. And we are -- again, we're strong believers in the rebound of Macao. It's coming back and there are people who somehow don't believe it, that's -- we'll have to wait and see. But it's going to come back in a strong way. We'll be the leading site in that space, our Londoner and Four Seasons investments are going to be having very well received. If the government wants us to invest in the region, and it makes -- we'll do it. We have capital, we've appetite, and we remain committed to Macao in a big way. We believe it's going to grow and grow for us. And despite all the distractions and all the pandemic, all the issues, Macao still remains from a land-based perspective, the most opportunistic and advantageous market in the world. And we plan to be there for a long time and invest more capital. And again, the government's directions will be pound out to our thinking.
Shaun Kelley: Great. And just maybe as a quick follow-up. potential reopening of Hong Kong, just kind of curious on latest there. I think the case counts have been, I think, very low. And there's some positive news there, but I think the vaccination rate is also very low. So just curious on color from that part of the market and that as a possible avenue for reopening some of the travel in the region.
Robert Goldstein: Sure. Wilfred or Grant can grab that since you guys are right there at the middle of it?
Wilfred Wong: Yes. I think it is gratifying to note that the cases every day has dropped to single digit. And I think yesterday, there was no home case in Hong Kong. The -- both governments of Hong Kong and Macao have announced that if there is a continuing period of 14 days of zero cases, they would open or consider opening the border between Hong Kong and Macao. And I think the Hong Kong government is working very hard to achieve that. And hopefully, that if that happens, that's going to help our business a lot.
Operator: Next question, we have Chad Beynon from Macquarie.
Chad Beynon: I know it's early on the Londoner opening of phase 1 here, but just wanted to ask about the makeup of the customer or how you guys are running that right now between Londoner and Venetian? Is there a major difference in terms of the customers that are visiting 1 versus the other from a base or premium standpoint? And are you deciding to comp certain players into 1 versus the other? Just trying to get some additional color in terms of how that's running since it just reopened?
Robert Goldstein: Mr. Chum?
Kwan Chum: Yes, yes. On the subject of Londoner, well, I think if you take a step back, we opened our first new product in the Four Seasons, the Grand Suites last year, and that has progressed exceptionally well in terms of customer feedback. And so clearly, that is more targeted at the premium mass and the long-stay leisure family guests. And then when we got to early part of 2021, as you referenced, we opened the first phase of Londoner. That's really the main Londoner hotel and the north side of the building with the Crystal Palace Atrium and some of the signature food and beverage outlets and some other tractions that we've opened up so far.  And I think it's important to remember that a large part of the building, namely on the south side, the Sheraton side, is still under heavy construction -- actually both on the interior as well as the exterior side because we have been bringing forward the construction works on that side of the building to take advantage of the low levels of traffic. So in terms of your question about segmentation, it really follows the trajectory of the initial recovery that we see in Macao right now. Therefore, not very much in terms of base mass traffic, and that's both because of the demand side but also the fact that the south side of the building is undergoing large-scale construction. And it's really focused more on the premium mass segment as well as the FIT leisure guest. We've enjoyed a resumption of the FIT segment in the various hotels that we have in the Londoner Macao. But clearly, there's a lot more to come in the remainder of the year into early part of next year in terms of the products that are coming online. We've got second all-suite hotel Londoner opening up later on the year. The Sheraton side, we're going to have the second wow space, atrium Shakespeare hall coming online imminently in the second quarter. Obviously, we still have the London arena. and another, call it, 6, 7, 8 food and beverage outlets, together with the theme attractions in the property as well as the retheming of the retail shops. So hopefully, that gives you a sense of where we are today.
Chad Beynon: Okay. Yes, that's great. And then separately, just regarding your retail mall business in Asia, which is on Slide 29, you've outlined that rental concessions have come down sequentially, which should be a positive just in terms of the health of your tenants. Is there anything that's going to change dramatically going forward just in terms of a turnover versus base component of the makeup of this business or when visitation kind of gets back to more normalized levels? Do you still expect for the profits of the retail mall portfolio to kind of mirror what you saw pre-pandemic?
Robert Goldstein: Yes, we absolutely expect it to be very much like the pre-pandemic levels. I mean what you're seeing now is similar to the U.S. outside spending by affluent people driving these crazy good numbers out of luxury Four Seasons and others. But I think we expect a full recovery. We have no concerns in trepidation that as visitation in Macao returns and to Singapore, our malls are going back to pre-pandemic levels and perhaps even beyond that. So we -- I don't think there's any concerns that you've seen the correction on the rent concessions, you've seen it go the right direction. But we're very pleased with the caveat that we want to see a return to mass traffic as well as various people driving these large performances.  But yes, we expect it to look a lot like pre-pandemic levels, hopefully, as the year continues. And in Macao -- Singapore, the more difficult because, but again, until the resumption of air traffic and foreign travel. I think Singapore is going to lag their pre-pandemic levels. And again, we feel much more aggressive in the return of Macao than we do at Singapore at this time because we don't see the vaccination kicking as large in the region, nor do we see air traffic -- any visibility in the resumption of air traffic. So it's hard to see Singapore getting back to pre-pandemic levels this year.
Operator: Next question, we have Robin Farley from UBS. .
Robin Farley: A lot of my questions have been asked already. But I'm curious on the online strategy. It sounds like it's going to be a little while from your comment earlier before there would be some announcement about LVS involvement. Is it fair to say, given that there's so much activity around getting market share when new markets open, that if you're kind of maybe coming to the online markets a little bit later than others that maybe your strategy would be kind of M&A focused rather than kind of building from scratch your presence in those markets.
Robert Goldstein: Well, the thought is we can go either direction, we can go to M&A or we could build organically. But at this point, again, I think we'll lay low. I think the challenging businesses -- despite the valuation, there's still challenging businesses. And it's early innings maybe -- in fact national anthem on time in terms of some of these businesses. I mean online in the U.S. is still a very -- not online gaming, which has been the profited -- most positive still in a few states. And I think the sports betting remains a conundrum to some extent to what's really happening there.  So -- and there's also a lot of movement outside the U.S., there's Europe and there's North America, there's all kinds of opportunities. So I don't think it'd be that long, we'll come back to you, but we're trying to again assess how to be smart and targeted, not just -- obviously with the kind of balance sheet we have, the optionality is endless. And we'll be careful and do it the right way. We really have the finest land-based business. So we want to get back and healthy. But we'll come back at the right time and the right strategy and right thought process. And then we'd want to obligate ourselves to say it's going to be organic or it's M&A, but we'll get there. I promise you that. We have a pretty voracious appetite to be in that world. And it may be different than you think it's going to be, but we'll let you know, and we're going to talk about it.
Operator: Next question, we have Steve Wieczynski from Stifel.
Steve Wieczynski: So the guys on the ground earlier in the call, touched on the favorable -- talked about the favorable case counts they're seeing in Hong Kong. But I guess the question is, can you guys provide any color around the actual vaccinations process -- or progress in your key feeder markets like Macao, Hong Kong, Guangdong? Obviously, it's very tough for us over here to get a good understanding where they are today versus maybe somebody like the U.S. is right now. So any color there would be pretty helpful.
Robert Goldstein: Wilfred, Grant, can you help me on that one?
Wilfred Wong: Yes. I think the situation on the ground in China, they have started the vaccination program, but there's no -- really no hurry for people to get the vaccination because China has been very safe for the last months. And for Hong Kong and Macao, Macao has no incidents for over 380 days. So the feeling of comfort is causing a lot of people to adopt the wait and see attitude. But it's getting there, people are slowly ticking up the vaccination. Same with Hong Kong. I think Hong Kong is -- there's, unfortunately, a few cases of people suffering after the vaccination so again, there are people adopting the wait-and-see attitude. But slowly, slowly, people are beginning to realize the importance, especially if they are thinking of traveling overseas that the travel bubble may require vaccination certification. So I think people are beginning to take up vaccination.
Steve Wieczynski: Got you. And Rob, there's been some talk or some rumors out there about Macao potentially moving to a digital currency down the road at some point, try to combat money laundering. Do you have any high-level thoughts around something like that being implemented? And then if something like that would get implemented, maybe the impact you potentially could see across certain business segments?
Robert Goldstein: I think a couple of thoughts to that. One is, I don't -- some people are concerned, we're not -- we think it's an additional form of liquidity into the market. Two, it won't preempt other currencies, there are ways of having funds to gamble. But also, I think some of the problem we have in our industry we think that everything is done in Beijing, they're actually thinking about casinos in Macao. I'm not sure if the case is a different thought process there. Sometimes we very limit our thinking. I don't think Macao is a target or as you mentioned anti-money laundering, much as a digital currency strategy by Beijing. And I don't think it's hurting Macao whatsoever. I think it's just a traditional liquidity. And Grant, do you want to weigh on this at all?
Grant Chum: No. I think you said it well, I think it's a big and complex topic. It's really more about the digital currency strategy of China more broadly. And also how Macao can fit into that. So probably most helpful is to refer to the comments by the Chief Executive recently in the question-and-answer session in the legislature, basically, this digital currency China has been looking at since 2014. And so Macao will also adjust and adapt in order to accommodate this broader strategy on digital currency. But a prerequisite of that is also getting prepared in terms of amending the existing relevant legislation. So this is still an early stage process from the perspective of Macao.
Robert Goldstein: I think the assumption has been by a lot of people, this is a negative thing. We view it as a positive as again, we would love to have more cross currency and more cross-border currency. So to me, the long to protect the Hong Kong dollar and the renminbi, it's another form of currency. And I should only be concerned, our business is not built on money laundering or on necessary junket profile. We're looking to focus on the mass customer, premium mass -- that's our bread and butter, that's who we are, where we want to go in the future. And we can build a business that keeps growing on the back of that. More visitation more penetration in China, more ways we're getting people to gamble and visit Macao is we're looking for. [indiscernible] is another value add to it. I think it's positive. I know the common wisdom is always going to be turbulent. I don't want seeing people think that way. It's not an immediate concern nor I think it's a long-term concern. It may be a very positive thing for Macao market as it becomes more traditional, more integrated into China and more consumer-friendly, it will be very positive for us.
Operator: Our last question is from David Katz from Jefferies.
David Katz: Rob, I just -- you used the term voracious appetite for digital before. And I wondered -- I appreciate it and wondered what intelligence you have or what survey work that gives you a sense that your people, your customers here in the U.S. or you have an audience in the U.S., particularly in the context of Las Vegas going away that, that audience is there for you?
Robert Goldstein: Well, I think [indiscernible]. And Mike, I guess, more voracious is a description of how we feel about that digital market, and you look at it. You can't deny the cumulative power of all those different businesses. And I think we have to do know which 1 we want to enter, which few want to enter. I'm not that concerned about the fact where some people were late to the party or who don't have a sports betting presence because I don't think it's all that difficult to enter them. We want to buy something we could we want to build the platform could. But I think we're looking at -- right now, it's a good kind of to reflect on what's making money, what's going to grow. And I don't think it necessarily in our thought process -- just simply in the U.S., it may be outside in Europe, it would not be in Asia because we would not do something that upsets the governments we do business within Asia. But it could be in Europe, it could be in South America and North America, there're a lot of markets after -- beyond the U.S. And it could be in the U.S., it could be B2B, it could be B2C. I just think the market -- we are spending a lot of time leading and learning.  And with our balance sheet with the sale of Las Vegas, again, we have outsized capital to look at these things. When we build organically or buy something remains to be determined. We won't do something just to do something. It'll be something that's intelligent, well thought out and profitable. And I think we all see -- not just LVS, but we can see the opportunities there for digital market that goes to 20%, 30%, 40%, who knows the numbers. The numbers keep growing in people's minds. And I think there is a belief that the digital market will become probably the hugely opportunistic for people like us, but we plan be part of that. But again, it's growing in each for us. We're just learning the business. And I don't think it's a question of selling Las Vegas takes off the table in fact. I think the sale Las Vegas puts us again even further because it provides the capital and the incentive to grow.  At the same time, I think people have this speed and work concept or if you're a land-based, you can't be digital, you have to be -- we're not either we're going to be a land-based player for years to come, making probably $5-plus billion in Asia in the near future. We're going to be a digital player and we'll still look at -- there's some speculation we want to lead the U.S. market, which is absolutely untrue. We just felt it was a better place to earn more returns on our capital then in Las Vegas. And we think we can be in multiple businesses. We need digital, land-based, Asia, U.S., where the opportunities grow that's where we'll grow. And we're not tied to any one strategy and one thought process.
Operator: Everyone. That's all the time that we have for today. Thank you all for participating. You may now disconnect. Have a great day.